Operator: Good morning and welcome to the Ubiquiti Networks' Third Quarter Fiscal 2018 Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. At this time, I'd like to turn the conference over to Ms. Laura Kiernan, SVP Investor Relations. Please go ahead.
Laura P. Kiernan - Ubiquiti Networks, Inc.: Thank you, Ryan, and thank you everyone for joining us today. I'm here with Robert Pera, our Founder, CEO and Chairman of the Board of Ubiquiti Networks. Before we get started, I'd like to review the Safe Harbor statements. Some of the statements we will make during this call constitute forward-looking statements, including perspectives on our future financial results, products, market conditions, and competition. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed during this call. Information on risk factors and uncertainties is contained in our most recent filing on Form 10-K with the SEC and our other SEC filings, which are available on the SEC's website at sec.gov. Forward-looking statements are made as of today, May 10, 2018, and we assume no obligation to update them. We hope you had a chance to review management's prepared remarks, which were posted as a transcript on the Events & Presentations and Financial Information sections of our website, at ir.ubnt. This call will be a Q&A-only call. Please limit yourself to one question. Operator, we are now ready for questions.
Operator: Thank you. We'll now begin the question-and-answer session. And we will go first to Tim Long with BMO Capital Markets.
Timothy Patrick Long - BMO Capital Markets (United States): Thank you. I'll try two if I can. First, Robert, could you talk a little bit about products in the quarter and in the pipeline I know few more were announced during the quarter? Just talk about any products that stood out outside of our airMAX and UniFi where you're seeing traction and from the newly announced products where you're most excited? And then just secondly, if you just touch on South American business a little bit of weakness there and as well in the Service Provider, I'm assuming those two are linked. Anything other than just the standard lumpiness there – is anything else you would attribute that performance to in the quarter? Thank you very much.
Robert J. Pera - Ubiquiti Networks, Inc.: Sure. I can start with new products. So we have two main businesses right now, one of course is UniFi and UniFi started off as WiFi, we expanded it to Power over Ethernet switching and security gateways and whole portfolio of different APs. And now we're taking it, video is picking up, we're taking it into adjacent markets and we're trying to create a complete collection of technology all consolidated within the one UniFi Controller platform. So I think you'll see UniFi overtime become more and more diversified. It was largely WiFi APs when we started, now I think it's a pretty good mix of everything from our CloudKeys, Security Gateways, PoE Switches and APs. And I think our next generation of video we finally got right. So I hope we will see a nice ramp up in our video products to match the quantities, the switches and APs we've got. On the Service Provider side, traditionally, we've sold airMAX, it was our dominant platform. But we are also adding new technologies through Service Provider including things like UFiber and our long term strategy right now for our Operator is shaping up nicely. It's following a similar trend to what we did with UniFi, we're trying to integrate all these technologies into one management controller which is our Ubiquiti Networks Management System, UNMS. And UNMS, the installations and the active users on the mobile app has really grown significantly over the past half year or so. And I think you'll see Service Provider start to show some growth over the long term. Now, back to your question about Service Provider being down in South America – being down – it's really hard to draw conclusions on our business quarter-to-quarter. Our channel is imperfect. Our supply chain is far from perfect and that is one of the reasons we're going to move away from quarterly guidance. I think they create a misrepresentation of the strength of our business. But there's also opportunities there. I think if we could make our channel more efficient, make our supply chain more efficient, we should see increased scale and hopefully more consistencies.
Operator: And we'll go next to Woo Jin Ho with Bloomberg Intelligence.
Woo Jin Ho - Bloomberg LP: Great. Thank you for taking my questions. Robert, can you just talk about – just to dig into the international segments, could you just talk little bit more about EMEA. EMEA has been fairly strong, seven out of the last eight quarters, you're growing 20% plus. Just help us understand the growth dynamics and the demand dynamics there? And then just to follow-on on that we're slowly approaching the 802.11ac cycle. Given the misexecution issues – I'm sorry, the AX (00:06:55) cycle, given the misexecution of your first try at AC, have you put steps in place to ensure a smoother rollout for your AX products in the future?
Robert J. Pera - Ubiquiti Networks, Inc.: [Technical Difficulty] (00:07:07-)
Operator: Pardon the interruption, this is the operator. We are here in silence at this time. But we show all speakers are still connected.
Laura P. Kiernan - Ubiquiti Networks, Inc.: Okay, just a moment. We're going to see if we can get Mr. Pera to dial back in.
Robert J. Pera - Ubiquiti Networks, Inc.: Sorry about that.
Laura P. Kiernan - Ubiquiti Networks, Inc.: Do you need for Woo to repeat...
Robert J. Pera - Ubiquiti Networks, Inc.: Yeah, sorry Laura. Did I answer that question or not? I was trying to keep my phone on mute while people were asking the question. I think I didn't unmute. I can answer that question again. Should I answer it again?
Woo Jin Ho - Bloomberg LP: Yes, please.
Robert J. Pera - Ubiquiti Networks, Inc.: Okay. So, starting first part of your question about introducing AX (00:09:37). You have a great point. The AC introductions in UniFi and then airMAX both were not – didn't go well. And I think they negatively impacted the brand and hurt the trust of our customers to adopt our new products and new releases into production. So the R&D today, our R&D leadership and our culture is much more disciplined and we're going to make sure we perfect any new platform before it's released officially to market moving forward. And I think we've demonstrated a much better discipline in that area in the past couple of years. To the next part of your question about EMEA, I think it's largely due to UniFi especially in Western Europe. We see it – because people in the system integrator community are becoming aware of UniFi, the powerful performance, the superior user experience and the great value compared to traditional vendors. And it's seeing some network effects and scaling right now.
Operator: We'll go next to Eril Suppiger with JMP.
Erik L. Suppiger - JMP Securities LLC: Yeah. Thanks for taking my question. I want to ask a few questions, one on the buyback. You've spent about $750 million on the buyback or more than that you just authorized another $200 million. You've talked about your interest in Teledyne (00:11:20) where they bought back 90% of their shares. Can you give us an update on what your goals are for your buyback? You've been very aggressive there and how you're measuring your returns on that buyback?
Robert J. Pera - Ubiquiti Networks, Inc.: My goal is to use our cash or capital efficiently and I think as demonstrated by our past share buyback performance, it's been a much better return on investment versus leaving the cash in the bank. We're also always looking at acquisitions. The problem with acquisitions is we have such a unique culture that it's going to be difficult to devote resources to cultural integration. And we're much faster, in my opinion, growing new technology and new businesses organically. So it leaves, I guess, a good opportunity for us. We have cash on hand and if we feel the stock's undervalued and we believe in our long-term prospects, it's easy decision to use that cash to retire shares and improve our future EPS.
Operator: And we'll go next to Tal Liani with Bank of America Merrill Lynch.
Daniel Bartus - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hey, Robert. This is Dan Bartus on for Tal. Thanks for taking my questions. First, I just wanted to ask about AmpliFi. Just generally are you happy with where it's at right now? Is it growing within your expectations? And when do you think it moves the needle? And then just briefly on professional fees in the SG&A. If you know about it, SG&A is up quite a bit, I was wondering what those fees are related to? Thanks.
Robert J. Pera - Ubiquiti Networks, Inc.: Sure. So AmpliFi, it's doing okay. It's tens of millions of dollars of revenue rate. It could be a lot better. I think in consumer markets, your timing and first-to-market is critical. And I think we could have executed to AmpliFi better. At the same time, I think relative to competitors and our investment marketing and sales investment relative to our competitors, it's done really well. And I think it has kind of validated, our business model and our R&D model where we can apply this model to different markets and similar returns on investments. Sorry, second part of your question was? (00:14:07-00:14:23)
Operator: And this concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.